Kevin Vassily: Good afternoon, everyone. By now, everyone should have access to our fiscal second quarter 2025 earnings press release. Which was issued earlier today at approximately or 5:00 PM EST. The release is available in the investor relations section of our website. This call will also be available for webcast replay on our website. Following our prepared remarks, we'll open the call for questions. Before I introduce Lawrence, I'd like to provide listeners that certain comments made on this conference call and webcast are considered forward looking statements under the Private Securities Litigation Reform Act of nineteen ninety five. Forward looking statements are neither historical facts nor assurances of future performance, they are based only on our current beliefs, expectations, and assumptions, regarding the future of our business, future plans, strategies, projections, anticipated events and trends, the state of the economy, and other future conditions. Because forward looking statements relate to the future, are subject to inherent uncertainties, risk changes, and circumstances that are difficult to predict. And many of which are outside of our control. Our actual results and financial condition may differ materially from those indicated in these forward-looking statements. These forward-looking statements are also subject to other risks and uncertainties that are described from time to time in the company's filings with the SEC, including our annual report on Form 10-K, which was filed with the SEC on September 20, 2024. Do not place undue reliance on any of the forward-looking statements, which are being made only as of the date of this call. Except as required by law, the company undertakes no obligation to revise or publicly release the results of any revision to any forward-looking statements. Our presentation today also includes certain non-GAAP financial measures, including adjusted net income and EPS, supplemental measures of performance of our business. All non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You will find reconciliation tables and other important information in the earnings press release and Form 8-K that we furnished to the SEC this afternoon. With that, I would now like to turn the call over to iPower's Chairman and CEO, Lawrence Tan.
Lawrence Tan: Thank you, Kevin, and good afternoon, everyone. We delivered strong results across all key financial metrics in our fiscal second quarter while further enhancing our SuperSweet platform throughout the quarter. We continue to optimize operations and strengthen our presence across both our established and emerging sales channels. We also remain focused on supply chain diversification by exploring new supplier relationships beyond our existing network, reinforcing our commitment to building a more resilient and adaptable infrastructure. Our SuperSweet platform is gaining further momentum as we drive sales growth for partners with innovative product catalogs. Additionally, the platform offers strategic insights that enhance our operational efficiency and competitive positioning in the market. SuperSweet's continued revenue acceleration underscores the value we bring through our expertise in supply chain management, fulfillment, and merchandising. As we advance our pipeline of prospective partners, we are focused on scaling SuperSweet's capabilities, and we anticipate it will grow as a larger share of our overall revenue mix. This quarter, we took meaningful steps to strengthen SuperSweet by integrating critical functions from value-added partners across logistics, merchandising, and data analytics to optimize our service offerings. This enhancement reinforces our commitment to fostering a fully connected ecosystem where all partners collaborate towards a common goal, which is driving sales in both US and international markets. By creating seamless integration across the supply chain, we empower our partners with the tools to expand efficiently, navigate shifting market dynamics, and optimize their operations for long-term success. This collaborative approach positions SuperSweet as a leading comprehensive solution for today's evolving ecommerce and supply chain landscape. We continue to make steady progress with our recently launched SuperSuite supplier portal as well, refining its capabilities to enhance supplier collaboration and streamline operations. This platform is designed to optimize supplier interactions by providing data insights, facilitating access to multiple sales channels, improving shipment efficiency, and enabling seamless collaboration on merchandising strategies. Additionally, as part of our ongoing innovation efforts, we are actively researching artificial intelligence applications to further enhance the platform's predictive analytics, automate routine processes, and provide smarter decision-making tools. Integrating these advanced features will enable us to foster stronger engagement between our suppliers, internal teams, and partners while driving greater efficiency across the supply chain. We have always prioritized diversifying our revenue streams, as evidenced by the launch of SuperSweet and our continued expansion into new sales channels like AliExpress. Our approach to channel expansion is strategic, focusing on strengthening our presence on our established channels like Amazon, where we have a proven sales track record and well-defined operational processes. At the same time, we continue to build our momentum on other channels like TikTok, which offer access to younger demographics and the growing social commerce space, and T-Mobile, which unlocks new revenue avenues for brand exposure and sales growth in rapidly expanding marketplaces. Our commitment to expanding across these diverse channels underscores our commitment to providing a comprehensive multi-channel solution that enables our partners to reach and engage customers both in the US and globally with greater efficiency and scale. At the operating level, our ongoing efforts to optimize our cost structure have delivered meaningful results as we continue to drive gross margin expansion and operating leverage in our business. We have also officially shuttered our legacy commercial hydroponics business, as we are now focused on our core competency as a data-driven, technology-driven consumer products and services company. As we mentioned before, we are continuing to benefit from a healthier supply chain, which enables us to operate with a lower level of inventory as lead times have normalized compared to recent years. As of December 31, 2024, we reduced our inventory level by approximately 12% compared to June 30, 2024. As we often say, we remain committed to enhancing operational efficiency and building a more resilient, adaptable supply chain. A key part of the strategy is our ongoing effort to diversify our supplier network, reducing dependency on any single region and strengthening our ability to navigate global supply chain fluctuations. Last quarter, we took a significant step forward by expanding our manufacturing base to Vietnam, reinforcing the viability of our outsourced strategy for most customers. As we further diversify and become geographically balanced, we expect to see meaningful benefits, including lower production and logistic costs. Our optimized supply chain will also be able to react more quickly to demand changes, using our diversified network to mitigate risks and avoid unnecessary trade restrictions. These enhanced efficiencies will enable us to offer more competitive pricing, strengthening our margins, and positioning iPower for long-term sustainable growth. We plan to continue identifying new supplier partnerships to further optimize our cost structure and ensure a robust, flexible supply chain that supports our growing business. Looking ahead, we are well-positioned to build our momentum and execute our strategic initiatives. We will continue expanding our sales channels while further investing in SuperSweet to enhance its capabilities and drive greater value for our partners. We are committed to strengthening every aspect of our supply chain, ensuring a resilient, efficient infrastructure that supports the evolving demands of ecommerce, supply chain management, and logistics. By leveraging our deep expertise in supply chain optimization, warehousing, and merchandising, we are well-positioned to achieve our long-term goals, both for iPower and our partners. We are confident that we will stay resilient as we adapt to market dynamics and capitalize on potential M&A opportunities, placing us in a strong position as a leader in end-to-end supply chain solutions. I will now turn the call over to our CFO, Kevin Vassily, to give some of our financial results in more detail.
Kevin Vassily: Thanks, Lawrence. Unless referenced otherwise, all variance commentary is in comparison to the year-ago quarter. So I will dive right into the fiscal Q2 results. Total revenue in the fiscal second quarter of 2025 increased 14% to $19.1 million, compared to $16.8 million. The increase was driven primarily by growth in our SuperSweet supply chain business as well as greater product sales to our largest channel partner. Gross profit in the fiscal second quarter of 2025 increased 15% to $8.4 million, compared to $7.3 million in the same quarter of fiscal 2024. As a percentage of revenue, gross margin increased 40 basis points to 44%, compared to 43.6% in the year-ago period. The increase in gross margin was primarily driven by improved pricing through key supplier negotiations. Total operating expenses for fiscal Q2 improved 22% to $7.7 million, compared to $9.9 million for the same period in fiscal 2024. The decrease in operating expenses was driven primarily by lower selling and fulfillment expenses related to our largest channel partner. Net income attributable to iPower in the second fiscal quarter improved to $0.2 million or $0.01 per share, compared to a net loss attributable to iPower of $1.9 million or a loss of $0.06 per share for the same period in fiscal 2024. Moving to the balance sheet, cash and cash equivalents were $2.9 million as of December 31, 2024, compared to $7.4 million as of June 30, 2024. As a result of our debt pay down, total debt was reduced by 31% to $4.4 million, compared to $6.3 million as of June 30, 2024. As Laurence mentioned earlier, we continue to benefit from the optimization initiatives we implemented last fiscal year, reflected by another period of gross margin expansion and improved operating leverage. We have also reduced our debt obligations by nearly $2 million compared to June 30, 2024, reflecting our commitment to strengthening our balance sheet. These initiatives, coupled with our accelerating growth in our SuperSweet business, should enable us to execute on our goals ahead. This concludes my prepared remarks. We will now open it up for questions. Operator?
Operator: Thank you. The first question comes from Thierry Wuilloud with Water Tower Research. You may proceed.
Thierry Wuilloud: Yes. Good afternoon, Kevin and Lawrence. A few questions on the product sales. In the fourth quarter, if we look at seasonality, I mean, the main driver there would be the fence business, right? Kind of a slow quarter for fans, but with your other product categories, are there any other seasonality factors?
Lawrence Tan: We have categories like products that perform especially well. The hydroponics side of the business, the ecommerce sales side, performs well typically in the fourth quarter. As we transition away from commercial hydroponics, the consumer side continues to perform well, but it's a smaller share of our business.
Thierry Wuilloud: Okay. Maybe one more question on the product sale. You said you shuttered the commercial hydroponics business. I know you have been deemphasizing it, and it's become a smaller and smaller percentage of your revenues, but why actually close down that line of business rather than let it go?
Lawrence Tan: We are transitioning ourselves from a hydroponics-centered retailer to a multi-category retailer across multiple categories. With other categories growing much more meaningfully compared to hydroponics. And we are also transitioning ourselves from an online retailer to a services provider with the SuperSweet platform. That's our goal, to become a platform that connects supply chains, logistics, merchandising, and potentially financial services to facilitate sales for online and offline channels, here and globally. By shuttering the commercial hydroponics business, it no longer contributes to our revenue as it had not been contributing any meaningful numbers recently.
Kevin Vassily: Yes, and Thierry, just to be clear, this is the commercial side. We still have hydroponics as part of the product portfolio, and we are selling that through our online channels to consumers. But it's the commercial piece that we have officially shuttered.
Thierry Wuilloud: Okay, great. Moving on to SuperSweet. Can you give us an update on how many partners you currently have? You talk about a strong pipeline. I am kind of curious if there is a limit in terms of how many new partners you can onboard on a quarterly basis, or what's going to drive that business going forward?
Lawrence Tan: While I don't think the number of partners indicates much, what I can share with you is that SuperSweet contributed about 20% of sales last quarter, so it is growing fast.
Kevin Vassily: Another piece of data you can use is that it's roughly a $16 million annual run rate, which is meaningfully up from the prior year.
Thierry Wuilloud: Last year, at this time, you were more on a $2 million annual run rate, right?
Kevin Vassily: Yes, we were a little higher than that this time last year, but it was definitely below where we are right now. We are gaining progress and momentum with this approach.
Thierry Wuilloud: Okay. Is there any way to describe the pipeline of new partners, or just stay tuned and see how things go?
Lawrence Tan: We have a number of partners that we are actively engaging at certain stages. We are constantly onboarding new partners, and we are not pausing anything.
Thierry Wuilloud: Kevin, I had a hard time understanding you all, and maybe you can kind of summarize what he said.
Kevin Vassily: Yeah, the connection's breaking up. It's just bad. Thierry, let's take this on the follow-up call.
Thierry Wuilloud: Okay. I had just one last question. I heard anecdotally that Amazon was continuing to reduce its 1P relationships and pushing some of the smaller players out of those relationships. Can you comment on that, and does it impact you in any way?
Lawrence Tan: Are you talking about Amazon moving smaller vendors off its 1P platform? We don't get impacted, and that's actually good. It means they are focusing resources on better servicing their larger partners, and that's positive for us.
Kevin Vassily: Thierry, that dynamic is something we have observed happening, starting probably six months to a year into the pandemic. Amazon was pretty aggressive in inviting suppliers onto the first-party platform before that, but the pandemic revealed some weaknesses amongst vendors with less operating history, and our view is that we actually executed fairly well on the metrics that Amazon measures, strengthening our relationship there. In some ways, it presents a market share opportunity for us.
Thierry Wuilloud: Great. That does it for me. Thank you, guys.
Kevin Vassily: Thanks, Thierry.
Operator: I would now like to turn the call back over to Kevin Vassily for any closing remarks.
Kevin Vassily: We want to thank everyone for dialing in today. We look forward to speaking with you again for our March quarter earnings release and call and potentially at some conferences in the near future. Thanks again, and take care.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.